Operator: Greetings. And welcome to the China Green Agriculture Third Quarter Fiscal Year 2013 Financial Results. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Wang, Investor Relations Officer for China Green Agriculture. Thank you. Mr. Wang, you may begin.
Wang Fang: Okay. Thank you. Thank you, Operator, and thank you. Thank you everyone. Welcome everyone to China Green Agriculture's third quarter fiscal year 2013 earnings conference call. The earnings release went to the wire after market on last Friday. Our call today is hosted by me, so I’m the company’s Investor Relations Officer; and Mr. Tao Li, company’s Chief Executive Officer; and Mr. Ken Ren, the company's Chief Financial Officer. Now, I would like to remind our listeners that management’s prepared remarks contain forward-looking statements that are subject to risks and uncertainties, and management may make additional forward-looking statements in response to your questions, although, the company claims the protection of Safe Harbor for forward-looking statements that is contained in the Private Securities Litigation Reform Act of year of 1995. Actual results may differ from those discussed today due to such risks but not limited to, fluctuations in customer demand, management of rapid growth, intensity of competition from other providers of China Green Agriculture products and services, general economic conditions, geopolitical events and regulatory changes, and other information detailed from time-to-time in the company’s filings and future filings with the United States Securities and Exchange Commission. Accordingly, also the company believes that expectations reflect in such forward-looking statements are reasonable, there can be no assurance that such expectations will prove to be correct. In addition, any projections as to the company’s future performance represent management’s estimates as of today the May 13 the year of 2013. China Green Agriculture assumes no obligation to update these projections in the future as market conditions change. And now, I’d like to review the performance of company for third quarter fiscal year 2013. For the three months ended March 31, 2013, we sold approximately 1,201,510 metric tons of fertilizer products as compared to 83,768 metric tons for the three months ended March 31, 2012. For the three months ended March 31, 2013, Jinong sold approximately 17,437 metric tons of fertilizer products as compared to 13,925 metric tons for the three months ended March 31, 2012. For the three months ended March 31, 2013, Gufeng sold approximately 84,073 metric tons of fertilizer products as compared to 68,843 metric tons for the three months ended March 31, 2012. So now let’s move to our third quarter fiscal year 2013 operational results. Total net sales for the three months ended March 31, 2013 were US$65,872,533, an increase of US$5,856,189 or 9.8% from US$60,016,344 from the three months ended March 31, 2012. This increase was largely due to the increase in Jinong's net sales. For the three months ended March 31, 2013, Jinong's net sales increased $4,740,261 or 21.2% to $27,051,929 from $22,311,668 for the three months ended March 31, 2012. This increase was mainly attributable to the greater sales of humic acid fertilizer products including our liquid and powder fertilizers during this period as a result of our increased distributors and the aggressive marketing strategy. For the three months ended March 31, 2013, net sales at Gufeng were US$37,690,762, an increase of $3,595,330 or 10.5% from $34,095,432 from the three months ended March 31, 2012. The fiscal quarter ended March 31, 2013 fell in the export window in which no special tariff tax applied. However, due to the lower demand on Nitrogen-Phosphorous elemented compound fertilizer by importing countries which is arise from the backlog of their imported compound fertilizers in previous quarters, which also led to lower-than-before profit margin over the export contracts, Gufeng had no export contract in the quarter ended March 31, 2013. So despite of that, Gufeng has been expanding and penetrating the domestic market particularly since the fiscal quarter ended March 31, 2012, during which period no revenue was generated from fertilizer exportation either due to the sustained special tariff tax levied by China authority or due to the continuously weak demand by importing countries. Net sales at Gufeng for the three months ended March 31, 2013 was US$37,690,762, an increase of $3,595,330 or 10.5% from US$34,095,432 for the same period in year of 2012. Jintai's net sale was zero for the three months ended March 31, 2013 as compared to $2,666,393 for the same period in 2012. So this was attributable to Jintai's relocation, which commenced on March 1, 2012, and is still ongoing. So, as Jintai didn’t generate any sales revenue since 1st of March, 2012. For the three months ended March 31, 2013, Yuxing's net sales were US$1,129,842, a decrease of $13,009 from US$1,142,851 during the three months ended March 31, 2012. Total cost of goods sold for the three months ended March 31, 2013 was US$44,126,828, an increase of US$6,585,823 or 17.5% from $37,541,005 for the three months ended March 31, 2012. This increase was proportional to the increase in sales, which mainly due to Gufeng's increased numbers of distributors in the three months ended March 31, 2013. Cost of goods sold by Jinong for the three months ended March 31, 2013 was US$12,502,786, an increase of US$3,881,408 or 45.0% from US$8,621,378 for the same period in year of 2012. So the increase was primarily attributable to the increase in cost of raw materials and the increase in sales of fertilizer products. Cost of goods sold by Gufeng for the three months ended March 31, 2013 was $30,844,656, an increase of $5,175,642, or 20.2%, from $25,669,014 for the same period in 2012. The increase was proportional to Gufeng's sales for the three months ended March 31, 2013. Cost of goods sold by Jintai for the three months ended March 31, 2013 was zero, comparing to $2,270,002 for the same period during fiscal year 2012, because Jintai's had no operation as a result of ongoing relocation. For three months ended March 31, 2013, cost of goods sold by Yuxing was $779,386, a decrease of $201,225, or 20.5%, from $980,611 for the three months ended March 31, 2012. The decrease was due to the corresponding lower cost in the raw material for the three months ended March 31, 2013. Total gross profit for the three months ended March 31, 2013 decreased by $729,634, or 3.2%, to $21,745,705, as compared to $22,475,339 for the three months ended March 31, 2012. Gross profit margin was approximately 33.0% and 37.4% for the three months ended March 31, 2013 and 2012, respectively. Gross profit generated by Jinong increased by $858,853 or 6.3% to $14,549,143 for the three months ended March 31, 2013 from $13,690,290 for the three months ended March 31, 2012. Gross profit margin from Jinong sale was approximately 53.8% and 61.4% for the three months ended March 31, 2013 and 2012 respectively. The decrease in Jinong gross margin was mainly due to the higher weight of lower-margin product sales in Jinong's total sales. For the three months ended March 31, 2013, gross profit generated by Gufeng was $6,846,106, a decrease of $1,580,312, or 18.8%, from $8,426,418 for the three months ended March 31, 2012. Gross profit margin from Gufeng's sales was approximately 18.2% and 24.7% for the three months ended March 31, 2013 and 2012, respectively. The decrease in Gufeng's gross margin was mainly due to the higher weight of lower-margin product sales in Gufeng's total sales. Our selling expenses consisted primarily of salaries of sales personnel, advertising and promotion expenses, freight-out costs and related compensation. Selling expenses were $3,872,492, or 5.9%, of net sales for the three months ended March 31, 2013, as compared to $3,633,223, or 6.1% of net sales for the three months ended March 31, 2012, an increase of $239,269, or 6.6%. The selling expenses of Gufeng were $503,932, or 1.3% of Gufeng's net sales for the three months ended March 31, 2013, as compared to $1,448,908, or 4.2% of Gufeng's net sales for the three months ended March 31, 2012. Most of this decrease was due to Gufeng's adjustments in marketing efforts. The selling expenses -- the selling expenses of Jinong for the three months ended March 31, 2013 were $3,353,575, or 12.4% of Jinong's net sales, as compared to selling expenses of $2,166,679, or 9.7% of Jinong's net sales in fiscal year 2012. Most of this increase was due to Jinong's expanded marketing efforts and the increase in shipping costs. General and administrative expenses consisted primarily of related salaries, rental expenses, business development, depreciation and travel expenses incurred by our general and administrative departments and legal and professional expenses including expenses incurred and accrued for the certain litigations. General and administrative expenses were $1,348,802, or 2.0% of net sales, for the three months ended March 31, 2013, as compared to $2,980,108, or 4.97%, of net sales for the three months ended March 31 2012, a decrease of $1,631,306, or 54.7%. This decrease was primarily a result of the decrease of legal fees incurred in connection with certain litigations. Net income for the three months ended March 31, 2013 was $13,410,659, an increase of $1,036,298, or 8.4%, compared to $12,374,361 for the three months ended March 31, 2012. The increase was attributable to the decrease in general and administrative expenses, along with the increased net sales. Net income as a percentage of total net sales was approximately 20.4% and 20.6% for the three months ended March 31, 2013 and the year of 2012 respectively. Now for the nine months of fiscal year 2013 results. Total net sales for the nine months ended March 31, 2013 were $147,116,265, a decrease of $13,096,670, or 8.2% from $160,212,935 for the nine months ended March 31, 2012. So this decrease was largely due to the decrease in Gufeng's net sales. For the nine months ended March 31, 2013, Jinong's net sales increased $14,314,681, or 22.5% to $77,857,756 from $63,543,075 for the nine months ended March 31, 2012. This increase was mainly attributable to the greater sales of humic acid fertilizer products including our liquid and powder fertilizers during this period as a result of our increased distributors and the aggressive marketing strategy. For the nine months ended March 31, 2013, net sales at Gufeng were $66,612,586, a decrease of $23,054,375, or 25.7%, from $89,666,961 for the nine months ended March 31, 2012. The fiscal quarter ended March 31, 2013 fell in the export window in which no special tariff tax applied. However, due to the lower demand of nitrogen-phosphorous elemented compound fertilizer by importing countries which is arising from the backlog of their imported compound fertilizers in previous quarters, which also led to lower-than-before profit margin over the export contracts, Gufeng had no export contract in the quarter ended March 31, 2013. So, despite of that, Gufeng has been expanding and penetrating the domestic market particularly since the fiscal quarter ended March 31, 2012, during which period no revenue was generated from fertilizer exportation either due to the sustained special tariff tax levied by China authority or due to the continuously weak demand by importing countries. Net sales at Gufeng for the nine months ended March 31, 2013 was $66,612,586, a decrease of $23,054,375, or 25.7% from $89,666,961 for the same period in 2012. Jintai's net sales was zero for the nine months ended March 31, 2013 as compared to $5,780,969 for the same period in 2012 due to Jintai's relocation, which commenced on 1 March, 2012 and is still ongoing. So therefore, Jintai did not generate any sales revenue since 1 March 2012. For the nine months ended March 31, 2013, Yuxing's net sales were $2,645,923, an increase of $1,423,993, from $1,221,930 during the nine months ended March 31, 2012. The increase was mainly attributable both to the development in sales of Yuxing's top-grade flowers and the proxy sales of certain inventory from Jintai. Net income for the nine months ended March 31, 2013 was [$30,513,387], a decrease of $336,488, or 1.1%, compared to $30,849,875 for the nine months ended March 31, 2012. The decrease was attributable to the decrease in gross profit, primarily Gufeng's gross profit. Net income as a percentage of total net sales was approximately 20.7% and 19.3% for the nine months ended March 31, 2013 and 2012 respectively. As of March 31, 2013, cash and cash equivalents were $77.7 million, an increase of $9.9 million or 14.6% from $67.8 million as of September 30, 2012. Net cash provided by operating activities was $17.3 million for the nine months ended March 31, 2013, an increase of $17.8 million, or 3400.0% from negative $0.5 million which was used in operating activities for the same period in 2012. The increase was mainly attributable to the increased collections of account receivables comparing to the same period in 2012. For the third quarter ended March 31, 2013, the tax expenditures stood out at approximately $6.2 million. As of March 31, 2013, we had a total of 449 different fertilizer products, of which 132 were developed and produced by Jinong and 317 by Gufeng. The company now has a total of 995 distributors covering 27 provinces, four autonomous regions and three central government-controlled municipalities in China. Jinong and Gufeng has 797 and 198 distributors respectively. And we expect to deliver continuos factors as a result of our both, end-product lines, high-quality growth, strong and extensive distribution network and royalties and marketing programs. We are well staged and efficient to introduce new high-margin products to the marketplace. The product penetrates (inaudible) as a newly high acquired market and builds on our strengths as well as the leading fertilizer products in China. For the fourth quarter ended June 30, 2013, the management expects net sales of $57.9 million to $72.9 million, net income of $12.5 million to $14.5 million, and EPS of $0.45 to $0.52 based on 27.7 million fully diluted weighted average shares outstanding. For the fiscal year ended June 30, 2013, the management expects net sales of $205.2 million to $220.7 million, net income of $43.0 million to $45.0 million and an EPS of $1.55 to $1.62 based on $27.5 million weighted average shares. So this is our -- the earning release. Now -- so now we can move, this concludes our prepared remarks for the third quarter of fiscal year 2013. So now at this time anybody have any questions.
Operator: Thank you. (Operator Instructions) Our first question comes from the line of Peter Siris with Hua-Mei 21st Century Partners. Please proceed with your question.
Peter Siris: Hello. Hello. Maybe (inaudible)?
Tao Li: Hello Peter.
Peter Siris: First of all, just a comment, you don’t have to spend 45 minutes reading the press release. I assume that anybody who is on the call will have read all the numbers in the press release. So it’s just very confusing just to sit there for 45 minutes for somebody to reread what’s in the press release? I’d like to understand what’s going on in the business right now, so it’s a fourth quarter, do you have a broad range for the fourth quarterm but the fourth quarter is hurdle is half over already. So let’s talk about the two basis businesses, Jinong and Gufeng, how’s done business for the fourth quarter?
Tao Li: Could you rephrase your question? I can’t hear.
Peter Siris: Yeah. We have a bad connection I think.
Tao Li: Yeah. I can’t hear you clearly. So just repeat your question please.
Peter Siris: I will. Is something wrong with the connection here this is?
Tao Li: Yeah, probably, yeah.
Peter Siris: Well, obviously…
Tao Li: So I will…
Peter Siris: … because you can hear me. So thank you anyway.
Tao Li: So are you asking to company, so what company is going to do within the next quarter? Is that your question?
Peter Siris: In the next quarter, then I want to talk about Gufeng in the quarter, yes?
Tao Li: So, yeah, I mean, this quarter fourth, for the quarter, we provided a guidance of revenue between $57.9 million to $72.9 million, and this is in line with our submission of the whole year guidance which were previously provided and updated at the end of the second quarter.
Peter Siris: So I saw the release, the quarter is half over, so let’s talk two pieces, Jinong, how is Jinong doing this quarter versus the same quarter last year?
Tao Li: For this current quarter and we believe Jinong is doing well and we experience the continuous growth for Jinong segment for the third quarter. And for the fourth quarter as that is the end of our whole fiscal year season and because we reaffirmed our guidance which is updated at end of the second quarter and we attain at the end of the second quarter we slowdown the guidance. But for the -- by the end of the third quarter with the third quarter’s performance, we are comfortable that this updated full-year guidance is achievable. However, we want to be cautious here and conservative as you can see this near year end and we like to enhance our control and so for instance like subsequent collection of certain market distributors, et cetera.
Peter Siris: I understand, I understand, but what I mean, quarter is half over, so I was asking about Jinong. How Jinong sales in this, because this is, you coming into your a good quarter for fertilizer. So, how is Jinong doing this year versus last year, you’ve half the quarter over, I’m not asking what’s the guidance is, I’m not asking what’s the number is, I’m just saying how is Jinong doing this year versus last year?
Tao Li: From this existing performance, existing business, we felt well nearly, nearly half of the quarter had been passed and the company is busy with the continuous sales and the promotion of the products. We’re really happy with Jinong’s performance so far for the fourth quarter.
Peter Siris: And Gufeng is doing a little less well because there is less export business, is that correct?
Tao Li: You’re correct.
Peter Siris: I think Gufeng because Jinong is doing better than Gufeng, because Gufeng does not have the benefit of export business but Gufeng is doing better domestically?
Tao Li: Let’s say this, Jinong’s business can be categorized into its export business and its domestic business and when we provide the whole year guidance at the beginning of this last September when we reported the fiscal year ‘12 earnings, we projected that we will have meaningful export business from Gufeng. However, that segment didn’t bring contribution to revenue and net income. So with that projection, we don’t foresee Gufeng will bring any export business for the whole fiscal year that’s the reason why during middle of the fiscal year we lowered the Gufeng’s guidance and accordingly we updated the whole year guidance. But in comparison its domestic performance performed better than we projected. The actual performance for Gufeng’s domestic segment is better than we projected. And if we take a look at domestic segment only, Gufeng brings the additional revenues and incomes year-over-year in its domestic segment. So we believe that the Gufeng’s fourth quarter will continue to grow. However, due to the lack of export segment and we would rather stick with what we updated in our guidance at the end of the second quarter.
Peter Siris: Okay. So domestically doing fine it’s just internationally that’s the softness, right?
Tao Li: Correct. Given that the uncertainties in international fertilizer markets, we are seeking active -- seeking credit guarantee and support, and only with that the company will be able to launch or execute export business and contracts. Because with all the spending receivables from international clients, the collection effort and reliability for successful collections will be different than from that of the domestic clients and we typically will only ship products to overseas clients with the full credit guarantee and backup from a policy like typically a Chinese policy like.
Peter Siris: Right. Now Jintai is finished, is that correct? Jintai is no more Jintai?
Tao Li: Correct. Jintai is in the process to be consolidated and merged with Yuxing and as we disclosed in our previous reports, the Jintai location was initiated nearly two years ago in the summer of 2011 and we are in the process of procedure to reregister Jintai and consolidate with Yuxing at appropriate time.
Peter Siris: Okay. And Yuxing is going to take the place of Jintai, right?
Tao Li: Correct. Yes. As Yuxing’s development is nearly or largely finished or completed. If you take a look at our financial statements and our disclosures, there were only some very residual auxiliary projects less unfinished in Jintai’s subsidiary and Yuxing is taking over Jintai’s role as the fertilizer research and development unit.
Peter Siris: And how big should Yuxing be like a year from now?
Tao Li: A year from now, you mean performance wise.
Peter Siris: I mean, Yuxing should end up being much bigger than Jintai, right?
Tao Li: Correct. Yeah.
Peter Siris: Okay. So then we should see a big growth in Yuxing next year, right?
Ken Ren: We think if, for Yuxing to reach its full utilizations or any utilization above 75%, 80%, it will take three to five years around prior period. But when we developed this Yuxing unit, we didn’t have the strength to consolidate. Yuxing together with Jintai, with that consolidation from Jintai, all the Jintai’s odd customers and business will merge into each facility and Yuxing’s production capability and the rough-tough period will be shortened from our five-year expectations by one and two years. You’re correct that Yuxing will ramp up quicker and faster than we originally planned and expected.
Peter Siris: Okay. Last question, I know that you have no projections going forward. I’m just curious, going into this planting year which because of where your fiscal year ends, sort of, coverage the fourth quarter and the first quarter. Is reason booking expecting to new strong growth from Jinong and Gufeng domestically strong growth, internationally weak growth, is that reasonable?
Tao Li: That’s the first statement, yeah. That’s a fair and a reasonable statement.
Peter Siris: Okay. Thank you very much.
Operator: (Operator Instructions) Our next question comes from the line of [Mu Chen Li with Mu Chen Li Financials]. Please proceed with your questions.
Unidentified Analyst: Okay. Thank you. Hi, Ken. I have two questions and first of all, is looking at 2012 your company’s long-term projections, your company actually -- let me go back to that number. Yeah, I had a projection of revenue $750 million. And I realized your company in 2012 has met the projections of $209 million in revenue. According to this quarter, this projection you would be ending 2013 probably within $205 million to $220 million in revenue. So my question is, is that long-term projections can be met giving the challenges and circumstances your company is facing right now. So that’s my first question. And second is, I noticed your company’s cash position has increased which is a good sign. So if you can also address your company’s expansion plan, maybe in the future we’ll have more acquisition like you did was Gufeng. Would you please elaborate on these two points? Thank you.
Ken Ren: Thank you, [Mu Chen]. First questions with regards to the full year’s performance in the -- actually beginning of this fiscal year when we initially provided (inaudible) full year guidance we projected the company’s growth is in the ballpark of 20% to 30%, that’s integrated our expectations for contribution from both domestic segments and export elements. However, due to the absence of export business, we accordingly reject that performance targets in middle of the year considering the weak export performance. However the domestic segment outperformed our projections. So overall, our year-over-year performance in terms of guidance is break-even and the other cautionary event for guidance for the first quarter and whole year integrates our conservation in these uncertainties and the collections. And however, we are happy and confident at this moment that we, like Peter said, the growth for the first quarter is reasonably expected to be good and promising and over a year, the revenue targets is at least -- will be at least at break-even from our guidance uptick. To your second question, you asked us we do have amount of cash balance and what’s our plan for utilizing this cash better and we may consider a possible acquisition. In terms of the cash activities for the foreseeable future, we expect that the cash flow from operating activities we will continue to bring green houses operating cash flows that meets our plan to invest in operating activity to generate cash flows into some marketing efforts and expansions and et cetera. And from our investing activities, we will continue to bring new equipments, new technologies and new properties and financing activities. We will rely on our short-term borrowings from the local Chinese banks by renewing the existing loss, but to maintain good banking relationship with its commercial lenders. And in terms of acquisition and its potential, however at this moment, we cannot comment on any acquisitions.
Unidentified Analyst: Okay. Ken, would you refresh us with the purchasing price, China Green Agriculture paid to acquire Gufeng?
Ken Ren: Okay. Gufeng, we paid the combination of equity along with cash. It is in a ballpark of $30 million in total consideration.
Unidentified Analyst: Okay. $30 million, okay. And understand actually, China Green Agriculture made that much in revenue or profit, the first year after the acquisition, right?
Ken Ren: Correct.
Unidentified Analyst: Okay. So, how confidently your company is to make such a good acquisition deals going forward?
Ken Ren: From our first acquisition, the acquisition of Gufeng, we step forward with our longer term expansion path. We penetrated from a very specialized segments in the fertilizer market that’s a bigger or broader business in the fertilizer markets. By acquiring the Gufen fertilizer manufacturer, this include from chemical product company, it’s better from a narrow and a special large fertilizer production line to its full broad stream, affluent production lines. With the acquisition of Gufeng, we expanded our capacity -- manufacturing capacity by 10-fold, from previously 40,000 to 50,000 metrics tons of fertilizer products -- production line to $0.5 production capacity. And with that, we expanded our distribution and works from liquid fertilizer only to large volume, large scale distribution and works of Jinong fertilizers and particularly in more Eastern provinces and the events. And, we believe our acquisition gives us the solid support to success of our tailored growth path and we will pursue our growth along that track
Unidentified Analyst: Okay. Great. Okay. Thank you so much, Ken for the information update.
Ken Ren: Thank you, [Mu Chen]
Operator: Thank you. There are no further questions at this time. I’d like to turn the floor back over to Mr. Ren for closing comment.
Ken Ren: Thank you, everyone on behalf of in chair China Green Agriculture management team, I would like to thank you for your interest and participation.